Operator: Good day everyone and welcome to this Exxon Mobil Corporation Fourth Quarter 2007 Earnings Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like turn the call over to the Vice President of Investor Relations and Secretary Mr. Henry Hubble. Please go ahead sir.
Henry H Hubble - Vice President of Investor Relations and Secretary: Good morning and welcome to ExxonMobil's teleconference and webcast on our fourth quarter and full year 2007 financial and operating results. As you are aware from this morning's press release, we had another strong quarter. In an environment of robust commodity prices, our fourth quarter results again highlight the fundamental strength of our business. We continue to deliver superior operational performance and leverage our integrated capabilities, while investing at record levels in an industry-leading portfolio of projects to bring supplies to market. Before we go further, I would like to draw your attention to our cautionary statement. Please note that estimates, plans, and projections are forward-looking statements. Actual results, including resource recoveries, volume growth and project outcomes, could differ materially due to the factors I discussed and factors noted in our SEC filings. Please see factors affecting future results and the Form 8-K, we furnished this morning, which are available through the Investors Section of our website. Please also see the frequently used terms, the supplements to this morning's press release and the 2006 financial and operating review on our website. This material defines key terms I will use today, shows ExxonMobil's net interest in specific projects and includes our SEC Regulation G disclosure. Now I'm pleased to turn your attention to the fourth quarter results. ExxonMobil's fourth quarter 2007 normalized earnings and net income were a record for the corporation, at $11.7 billion, up to $2.3 billion from the third quarter of this year, versus the fourth quarter of 2006, net income increased $1.4 billion and normalized earnings were up $1.8 billion. Fourth quarter normalized earnings per share were $2.13, up 26% from the year ago, reflecting the strength of our financial performances and the benefits of our ongoing share repurchase program. ExxonMobil's net income and normalized earnings for 2007 totaled $40.6 billion, also a record for the Corporation. Normalized earnings were up $1.5 billion from 2006, while net income increase $1.1 billion. Before I discuss the specific business results, I would like to share with you some milestones achieved since our last earnings call. Starting with our Upstream business. In October, we achieved initial oil production from the first expansion of the Tengiz development in Kazakhstan. When complete, this expansion project, Tengiz Phase 1, will fully incorporate a second-generation gas handling project with sour gas injection. The project is expected to deliver incremental production of 285,000 barrels of oil per day at full capacity. This was ExxonMobil's seventh major Upstream project startup in 2007. In January, we started up production from the Mondo field in the ExxonMobil-operated Kizomba C development, in Block 15 offshore Angola. The Kizomba C development exemplifies ExxonMobil's design one, build multiple' strategy as it includes two projects; Mondo and Saxi/Batuque. Each project utilizes a floating production storage and off-loading vessel that will handle up to a 100,000 barrels per day. Together these projects are expected to recover 600 million barrels of oil. We anticipate the start-up of Saxi and Batuque fields later this year, completing the Kizomba C development. These project start-ups demonstrate ExxonMobil's commitment to bring new energy supplies to market and deliver value to our shareholders. Also in the fourth quarter, we announced plans to seek regulatory approval for our BlueOcean Energy project. This project includes a floating LNG receiving terminal, 20 miles off the coast of New Jersey and will have the capacity to supply about 1.2 billion cubic feet of clean burning natural gas per day to help meet the growing energy needs of consumers in New York and New Jersey. During the fourth quarter, we also signed a heads of agreement with Libya's National Oil Corporation to execute an exploration and production sharing agreement. The agreement includes four blocks located in the Sirte Basin, approximately110 miles off the Libyan coast. The contract area comprises 2.5 million acres in water depths ranging from 5400 feet to more than 8700 feet. The work program includes 2D and 3D seismic and one deepwater exploration well. The contract award is expected to be ratified by the Libyan government earlier this year. This further adds to our industry-leading portfolio of exploration opportunities around the world. In our Downstream business, we also had a number of notable achievements in the fourth quarter. ExxonMobil's Baton Rouge refinery received the 2007 ENERGY STAR Award from the U.S. Environmental Protection Agency. This award recognizes our achievements in reducing energy consumption at the facility and our continuing efforts to improve energy efficiency in our operations. We continue to grow profitability at our refineries through our molecule-management technology and our ongoing crude diversification efforts. In the fourth quarter, we ran 43 crudes new to individual refineries and five new to ExxonMobil. In our lubes business, we announced that ExxonMobil will become the titled sponsor of the Penske Racing Number 77 Mobil 1 Dodge in the 2008 NASCAR Sprint Cup Series. Mobil 1 is the official motor oil of NASCAR and is used by more than 60% of the racing teams. This reflects the exceptional performance and protection that Mobil 1 provides, even under the most extreme conditions and our continued commitment to developing innovative high-quality products. In our shipping business, both of ExxonMobil's maritime affiliates, SeaRiver Maritime in the U.S. and International Marine Transportation in the U.K were again awarded the British Safety Council's Sword of Honor. As the Council's top recognition, the prestigious award highlights the exceptional quality of our people, the effectiveness of our processes and systems, and our continuous efforts to further improve safety performance. ExxonMobil also achieved a number of milestones in our Chemical business in the fourth quarter. In December, we announced the development of new film technologies for lithium-ion batteries. These technologies have the potential to improve the energy efficiency and affordability of next-generation hybrid and electric vehicles by significantly enhancing the power, safety and reliability of lithium-ion batteries. Through our Japanese affiliate, Tonen Chemical, we also signed a Memorandum of Understanding to progress a feasibility study with the construction and operation of a battery manufacturing facility in Gumi, South Korea. We look forward to working with automakers and battery manufacturers on implementing these technologies and addressing the challenges in producing the next-generation of low-emissions vehicles. In the quarter, ExxonMobil Chemical started up a new compounding facility at our integrated complex in Baton Rouge, Louisiana. This achievement, along with formation of our new business lines dedicated to specialty compound and composites, is part of our commitment to the development, production and marketing of engineered polyolefin compounds around the world. This world-class facility at Baton Rouge, will further enhance ExxonMobil's capability to supply high-performance products to the automotive, appliance and specialty consumer products industries. These developments highlight our ongoing commitment to advancing technological innovation across all of our business lines. Now turning to the business-line results. Upstream earnings in the fourth quarter were a record at $8.2 billion, up $2 billion from the fourth quarter of 2006. We continued to capture the benefit of strong industry conditions, this quarter with Upstream after-tax unit earnings, up $20.97 per barrel. Higher crude oil and natural gas realizations drove the majority of the earnings increase, with worldwide crude oil realizations up $29 per barrel from fourth quarter 2006. Volume and mix effects were negative, as lower crude oil volumes and mix effects more than offset increased natural gas volumes. Other effects reduced earnings by $600 million, primarily due to negative tax impacts and higher operating expenses, including the effect of newfield start-ups. These were partially offset by positive earnings from assets sales. Oil equivalent volumes increased nearly 1% versus the same quarter last year, driven by higher natural gas demand in Europe. Excluding the Venezuela expropriation, divestments, quotas and price and spend impacts on volumes, production was up nearly 3%. The increase in European natural gas demand combined with major project ramp ups in Russia, West Africa, Qatar and the North Sea, more than offset natural fuel decline in the PSC net interest productions. Liquids production decreased about 160,000 barrels per day versus the same quarter last year, as natural fuel decline in mature areas and PSC net interest reductions more than offset the impact of major project ramp ups in Russia and West Africa. Gas volumes increased approximately 1.1 billion cubic feet per day, were 12% versus the fourth quarter of 2006. New project volumes in Qatar and the North Sea and higher demand due to colder weather in Europe, were partly offset by natural fuel decline in mature areas. Turning now to the sequential comparison; versus the third quarter of 2007, Upstream earnings increased by $1.9 billion. Higher realizations increased earnings by $1.6 billion, driven by an almost $14 per barrel increase in crude oil prices. Volume and mix effects were also positive, due to higher natural gas volumes. Oil equivalent volumes were up nearly 9% from the third quarter, due to seasonally higher natural gas demand in Europe. Looking now at the full year results. 2007 Upstream earnings were a record $26.5 billion, an increase of $270 million over 2006. Improved realizations increased earnings by almost $2.5 billion, reflecting a nearly $8 per barrel increase in average crude oil prices, partially offset by lower natural gas realizations. Other factors included the combined effect of higher expenses, including the impact of new project start-ups, increased exploration activity and negative tax effects. Full year oil equivalent production was down 1% versus 2006. Liquid volumes were down 2%, while natural gas volumes were up just under 1%. Excluding the Venezuela expropriation, divestments, quotas and price and spend impacts on volumes, production was up nearly 1%. New project volumes in West Africa, Russia, the North Sea and Qatar, more than offset natural fuel decline in mature areas and PSC net interest reductions of approximately 100,000 barrels per day. For further data on regional volumes, please refer the press release and IR supplement. Turning now to the Downstream results. Earnings in the fourth quarter were $2.3 billion, up nearly $310 million from the fourth quarter of 2006. Lower margins reduced earnings by $410 million primarily due to lower U.S. refining margins. Volume and mix effects increased earnings by $290 million, reflecting the benefits of our ongoing refinery optimization activities. Other affects improved earnings by $430 million, driven by gains on assets sales this quarter. LIFO inventory effects were about in line with 2006. Sequentially, fourth quarter earnings increased by $265 million, lower margins reduced earnings by $660 million, driven by a weaker refining margins and marketing margins. Volume in mixed effects increased earnings by $310 million due to improved refining operations and lower turnaround activity. Other factors increased earnings by $620 million, including positive LIFO inventory effects of approximately $250 million and also higher asset sales. Full year 2007, downstream earnings were a record for the corporation at $9.6 billion, $1.1 billion higher than 2006. Lower margins reduced earnings by $230 million, reflecting lower refining margins in the U.S. Volume and mixed effects benefited earnings by $780 million, reflecting our ongoing focus on refinery feedstock flexibility, capacity utilization and product optimization. Other factors improved earnings by $570 million, including positive effects from asset sales. Focusing now on our Chemicals results. Fourth quarter Chemical earnings were $1.1 billion, $130 million lower than the fourth quarter of 2006. Margin effects reduced earnings by $520 million, as higher feedstock costs more than offset increased product realizations. Volume and mixed effects improved earnings by $170 million, reflecting higher commodity and specialty sales. Other factors were a positive $220 million, including favorable tax and foreign exchange effects. Sequentially, fourth quarter Chemical earnings decreased by $90 million. Lower margins reduced earnings by $300 million, as higher feedstock costs more than offset increased realizations. Other factors benefited earnings by $180 million, including positive tax and LIFO inventory effects. Full year 2007 Chemical earnings were a record, at $4.6 billion, up $180 million from 2006. Lower margins reduced earnings by $330 million, reflecting increased feedstock cost, partially offset by higher product realizations. Higher sales volumes and positive mixed effects increased earnings by $118 million. Other effects were a positive $330 million, including favorable foreign exchange effects. Now turning to our Corporate and Financing statement. The corporation recorded fourth quarter earnings of $77 million, down $341 million from fourth quarter 2006, primarily due to the absence of positive tax effects. For the full year 2007 Corporate and Financing segment expenses were $23 million compared to earnings of $24 million in 2006. The effective tax rate for the fourth quarter and full year 2007 was 44%. The corporation distributed almost $9 billion to shareholders in the fourth quarter through dividends and share repurchases to reduce shares outstanding. Of that total, $7 billion was distributed to purchase shares in excess of dilution, reducing the number of shares outstanding by 1.5%. For the full year 2007, we purchased $28 billion of shares in shares in excess of dilution and reduced shares outstanding by 6%, further demonstrating our ongoing commitment to return cash to our shareholders. CapEx in the fourth quarter was $6.2 billion, an increase of 21% from fourth quarter 2006, and bringing 2007 full year CapEx to $20.9 billion. This is in line with our previous guidance and an increase of $1 billion from 2006. Fourth quarter cash flow from operations and asset sales was $13.1 billion. At the end of the fourth quarter, our cash balance was $34 billion and debt was 9.6. In summary, these record results again demonstrate how ExxonMobil's longstanding commitment to the integrity of our operations, disciplined investment and integrated business model continue to deliver superior results. Finally, I would like to mention two upcoming events, first in mid-February, we will be releasing our 2007 reserves performance data and second, as many of you will already have seen, our analysts meeting this year will take place on March 5th This will include a live audio webcast beginning at 9 AM Eastern, 8 AM Central Time and an update on a forward business plans. ExxonMobil's presenters will be led by Chairman and CEO, Rex Tillerson. That concludes my prepared remarks. I would now be happy to take your questions. Question And Answer
Operator: Thank you sir. Today's question-and-answer session will be held electronically. [Operator Instructions]. And we will take our first question from Doug Terreson at Morgan Stanley.
Douglas T. Terreson - Morgan Stanley: Congratulations on record results Henry.
Henry H Hubble - Vice President of Investor Relations and Secretary: Thanks Doug.
Douglas T. Terreson - Morgan Stanley: The rate of inflation on production costs was fairly high last year for you guys and others in the industry too. And on this point, besides the successful capital and project management plans you guys have, I want to see if you provide an update on any productivity programs or initiatives that might be in place or emerging in E&P and also the result that you have to achieve if these plans are in place; meaning, in refinery for instance, you talked a little bit about molecule-management program that I think you guys expect to receive an earnings benefit of $250 million by 09 and so. The question is whether similar plans are in place in E&P and if so, any targets you might have?
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes. When you look at how we approach OpEx and general cost inflation across our business, it's something that basically is an approach we take whether its upstream, downstream, chemicals we are always looking for improved efficiencies, technologies will help lower costs and basically self improvement kinds of or self help kinds of initiatives. If you look at the E&P area in particular, I mean past year is one of... if you look at one of the areas of the biggest ramp-up in cost has been in drill rigs and of course things you can do to reduce those costs, drilling faster, being able to make those, bringing those wells more productively is a big driver. We've spent over $4 billion a year in drilling alone. So it's... it can have a big drive on reducing on those costs. When you look at our developments in the Piceance's Basin, the multi-zone stimulation technology that we have there, again it's basically driven technology that helps us lower cost and improve productivity of those operations. And of course, then throughout our organization, we are constantly focused on reducing energy requirements and running operations efficiently throughout the business. So, I can share some specific targets, generally though, if you look at what we have delivered in self help kinds of things and OpEx, it's brought forward, if you look at the past, about $1 billion a year and we'll sharing with you the results of that in our upcoming analyst meetings.
Douglas T. Terreson - Morgan Stanley: Okay, great. Henry thanks a lot.
Operator: We'll go next to Mark Flannery with Credit Suisse.
Mark Flannery - Credit Suisse: Hi Henry.
Henry H Hubble - Vice President of Investor Relations and Secretary: Hi.
Mark Flannery - Credit Suisse: I'm looking for some guidance really on the PSC impact that we might want to factor in for 2008. There has been a big run up in oil prices, we are not asking you to forecast oil prices but, can you give us some rule of thumb maybe for what would happen to your expectations of 2008 production, let's say, if oil average $90 for 2008 versus averaging $70 for 2008?
Henry H Hubble - Vice President of Investor Relations and Secretary: Well we will be going through and actually updating our production profile at the analyst meeting in March. But just stepping back, I think it maybe helpful to talk about what's been going on in this area. What you see in the PSC impacts and these net interest reductions, basically it's a reflection of accelerated ... a significant acceleration in value that we have captured associated with these projects. The higher prices basically have improved the economics, but they do end up reducing the number of barrels. We have just over 20% of our production under PSC-type terms. Not all of those PSCs are the same, they can have different, both terms and characteristics, including the extent to which they changed... our volumes change over time. When you look at the effects that we have seen, most of those have occurred in Africa and then the PSC reductions and net interest reductions, basically reflect us moving through investment return thresholds at those specific developments. Now these occur at different times during the year, it depends on the price, it depends on the performance of the projects. So to go through and give you a rough estimate at this point is and especially when you are doing year-on-year comparisons and you look at where those trends changes change, we will go through and give you our best estimate of that at our March 5th meeting.
Mark Flannery - Credit Suisse: Okay, great. Thanks a lot.
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes.
Operator: We will go next to Nicky Decker, Bear Stearns.
Nicole Decker - Bear Stearns: Good morning Henry. My question is on Angola, really regarding the Angola development, now that OPEC quotas have been assigned there. Are you seeing any changes in terms of the pace at which projects are able to move forward there and may be you could comment on where you are on Kizomba D?
Henry H Hubble - Vice President of Investor Relations and Secretary: We are not really, in terms of the impact from OPEC or their joining OPEC, we really haven't seen anything roll through. As you see in the Kizomba C developments, they've moved ahead first schedule. And the Kizomba A satellites are moving ahead as we expect. So we can't point anything that would say there's change there associated with that. And we've had very good relations in the... as you know, those projects have performed very well both in terms of being able to bring them in on-schedule and at our costs and so, basically we are moving ahead and on-schedule for those deliveries.
Nicole Decker - Bear Stearns: Okay, and on that note Henry, did you say Saxi/Batuque starts later this year?
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes.
Nicole Decker - Bear Stearns: Is that a little ahead of schedule?
Henry H Hubble - Vice President of Investor Relations and Secretary: No, that's about on-schedule.
Nicole Decker - Bear Stearns: Okay. Thank you.
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes, no problem.
Operator: And we'll go next to Paul Sankey of Deutsche Bank.
Paul Sankey - Deutsche Bank Securities: Hi Henry.
Henry H Hubble - Vice President of Investor Relations and Secretary: Hey Paul.
Paul Sankey - Deutsche Bank Securities: Henry, I was just wondering, are you expecting to replace the 100% of reserves this year?
Henry H Hubble - Vice President of Investor Relations and Secretary: Well, as you know and I mentioned, we'll give you that update in a couple of weeks here.
Paul Sankey - Deutsche Bank Securities: Is that the... is the couple of weeks kind of the timeframe to that --
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes. Mid-February, we typically are coming out with that and we'll have it soon.
Paul Sankey - Deutsche Bank Securities: As a follow-up to Mark Flannery's question, I was wondering about PSC impact. Is there any idea that you can give us on how that might eat away the number?
Henry H Hubble - Vice President of Investor Relations and Secretary: Well, we will give you the update and we were really talking about all of these kinds of effects at our analysts meeting. But, I mean that's just our usual time for these things and I am just not going to prejudge those things at this point.
Paul Sankey - Deutsche Bank Securities: Yes, that was actually a trick question Henry.
Henry H Hubble - Vice President of Investor Relations and Secretary: I know that.
Paul Sankey - Deutsche Bank Securities: Henry, could you just on the line item basis go through your asset sales, because it came up a number of times. I wondered if you could be so kind to just strip out upstream, downstream?
Henry H Hubble - Vice President of Investor Relations and Secretary: Speaking in the downstream?
Paul Sankey - Deutsche Bank Securities: Upstream... international Upstream, U.S. Downstream, if possible thanks.
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes, in the Upstream, there is... we have some asset sales, the largest of those was car and then if you look at the downstream --
Paul Sankey - Deutsche Bank Securities: I guess there isn't price on that, Henry?
Henry H Hubble - Vice President of Investor Relations and Secretary: No, no.
Paul Sankey - Deutsche Bank Securities: Thanks.
Henry H Hubble - Vice President of Investor Relations and Secretary: And then if you look at the Downstream as we mentioned it was about $450 million associated with the Downstream divestments. Those were made up of a number of different... none of them large in on their own, both mostly in Europe and in our marketing operations. But it's part of our normal process that we go through possibly looking at our portfolio, looking at what the market is willing to pay for things and we are constantly high-grading and basically reflects our ongoing activity.
Paul Sankey - Deutsche Bank Securities: So you have nothing in Chemicals.
Henry H Hubble - Vice President of Investor Relations and Secretary: No.
Paul Sankey - Deutsche Bank Securities: And no acquisitions?
Henry H Hubble - Vice President of Investor Relations and Secretary: Nothing on material, anyway.
Paul Sankey - Deutsche Bank Securities: And no acquisitions?
Henry H Hubble - Vice President of Investor Relations and Secretary: No.
Paul Sankey - Deutsche Bank Securities: Finally from me Henry, Nigeria, there may be some issues we understand to do with renegotiation there. Can you update us and I will leave it there. Thank you.
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes, thanks. There is... I mean there has been some things in the press in that kind of business. But right now, basically the affiliates operate in several joint venture concessions there in Nigeria. And under the Nigerian law, the production sharing contract is subject to review in 2008. We are not going to... I am not going to really speculate on the future business or discuss those future business perhaps that might come out, those discussions will go on during that timeframe, so we will see.
Paul Sankey - Deutsche Bank Securities: Thank you
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes.
Operator: And we will go next to Kath Lucas at J P Morgan.
Katherine Lucas - J P Morgan: Hi, good morning, it's Kath Lucas for Michael LaMotte.
Henry H Hubble - Vice President of Investor Relations and Secretary: Hi.
Katherine Lucas - J P Morgan: Hi, I have quick question on Qatar. Seems like some contractors like Techniques are announcing some charges related to some overruns. Are these negotiated settlements that would translate into higher project completion costs for Exxon or are things moving along there as you had originally anticipated?
Henry H Hubble - Vice President of Investor Relations and Secretary: Things are moving ahead, basically per schedule and we've had no changes to our assessment there in terms of the costs associated with those. I mean if you look, there has been some things, people have... different folks have talked about, potential for delays. Right now our schedule is that... as per original schedule, we anticipate start-up of Qatar gas to Train 4 in 2008, also the RasGas Train 6 is scheduled for start-up in 2008. And then Qatar gas 2, Train 5 projected in 2009 and RasGas Train 7 in 2009. So no real change to what we have laid out in the past in the schedule or cost wise.
Katherine Lucas - J P Morgan: Okay great, thanks. And if I could just ask a final on Brazil, I think the original indications were that you just got the first export trial on BM-S-22 in the fourth quarter this year, but it seems like there maybe the potential to do, can you give us an update on the timing on the first well?
Henry H Hubble - Vice President of Investor Relations and Secretary: Well, we are working to progress that and basically we will be moving ahead with this... as we have the rig available to start that. We expect to do it in the second half of this year.
Katherine Lucas - J P Morgan: Okay, great. Thanks very much.
Operator: [Operator Instructions]. Next you Oswald Clint at Sanford C. Bernstein.
Oswald Clint - Sanford C. Bernstein: Hello, Hi, Good morning Henry.
Henry H Hubble - Vice President of Investor Relations and Secretary: Hi [indiscernible]
Oswald Clint - Sanford C. Bernstein: Just a couple of question, first on the line items. Is there ... could tell us if there is a Canadian tax benefit in the international Upstream and then secondly, perhaps just an update on Venezuela. We didn't get any color on that this quarter. And then finally, just if there anything you can say on the Julia discovery in terms of can we expect an appraisal well some time later in the current year. Thank you.
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes, I mean in the tax area, if you look at the biggest tax impacts in the Upstream, the largest was associated with Alaska actually, and then there were...there was impacts in Canada, but relatively small. U.K. was the other one that had had some impact in the period. And then, Julia basically as we've had indications of hydrocarbon there. We were scheduled to start in the first quarter to help basically appraise the extent of the discovery. And was there another piece on Venezuela --
Oswald Clint - Sanford C. Bernstein: Yes.
Henry H Hubble - Vice President of Investor Relations and Secretary: It's basically, it's ongoing we have filed with the... for the arbitrations and we'd like get back to the table if we can get things under discussion with the Venezuelans on that. But basically we are proceeding on the arbitration track at this point.
Oswald Clint - Sanford C. Bernstein: Okay. Thank you.
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes.
Operator: [Operator Instructions]. Next to Doug Leggate of Citigroup.
Doug Leggate - Citigroup: Thank you. Good morning.
Henry H Hubble - Vice President of Investor Relations and Secretary: Hi Doug.
Doug Leggate - Citigroup: Hi, I apologies Henry, I may have missed a little bit of what you've been saying already.
Henry H Hubble - Vice President of Investor Relations and Secretary: I understand.
Doug Leggate - Citigroup: My question was on the kind of non recurring of the ... I guess you can call them anymore but the one-off items.
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes.
Doug Leggate - Citigroup: Just trying to get some absolute feel for the level on the split, particularly in the Downstream and if you could going in for a little bit more detail on the $600 million, I think in the Upstream also?
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes, if... again if you look at the downstream and I am assuming you are talking fourth quarter 07 fourth quarter 06.
Doug Leggate - Citigroup: Yes, If we could get the absolute number, Henry that would be great.
Henry H Hubble - Vice President of Investor Relations and Secretary: Well they were about... as we mentioned in the call or in the script they were about $450 million associated with asset sales in the period. And if you look at those were basically the biggest piece of those were in Europe and our marketing operations, just part of our ongoing, hi-grading we did talk about that just before. So none of them were by themselves very significant. And then if you look at in the Upstream the $600 million negative basically, it's a number of items as they typically are in these areas, number of them tax related, Alaska was one of the bigger pieces but we also had impacts as I mentioned in the UK, that will also increase the expenses, some of that associated with the new project start-ups. Those were kind of the big negatives in there.
Doug Leggate - Citigroup: Okay and if I may just go back to the 450 in India, there it is $450 million higher. So was it actually $450 million absolute as well.
Henry H Hubble - Vice President of Investor Relations and Secretary: That was basically... there wasn't much of anything else in the prior period. Right?
Doug Leggate - Citigroup: That's sound, that's fine. Thanks very much.
Henry H Hubble - Vice President of Investor Relations and Secretary: Yes, no problem.
Operator: It appears that we are standing by with no further questions at this time. Mr. Hubble, I would like to turn the conference back to you for any closing or additional comments.
Henry H Hubble - Vice President of Investor Relations and Secretary: Well I would just like to thank everybody for their time and questions this morning. We look forward to sharing the details on our performance and our forward business plans at the analyst meeting in March. Thank you very much.
Operator: This does conclude our conference for today. We do thank you very much for your participation. You may disconnect as this time.